Operator: Welcome to Post Holdings First Quarter 2017 Earnings Conference Call and Webcast. Hosting the call today from Post are Rob Vitale, President and Chief Executive Officer and Jeff Zadoks, Chief Financial Officer. Today’s call is being recorded and will be available for replay beginning at 12 p.m. Eastern Time. To dial-in, the number is 1800-585-8367 and the passcode is 48363175. At this time, all participants have been placed in a listen-only mode. It is now my pleasure to turn the floor over to, Brad Harper, Investor Relations of Post Holdings, for introductions. Sir, you may begin.
Brad Harper: Good morning and thank you, for joining us today for Post’s first quarter 2017 earnings call. With me today are Rob Vitale, our President and CEO and Jeff Zadoks, our CFO. Rob and Jeff will begin with prepared remarks, and afterwards, we will have a brief question-and-answer session. Our press release supporting these remarks is posted on our website in both the Investor Relations and the SEC filings sections at postholdings.com. In addition, the release is available on the SEC’s website. Before we continue, I would like to remind you this call will contain forward-looking statements, which are subject to risks and uncertainties that should be carefully considered by investors as actual results could differ materially from these statements. These forward-looking statements are current as of the date of this call and management undertakes no obligation to update these statements. As a reminder, this call is being recorded and an audio replay will be available on our website. And finally, this call will discuss certain non-GAAP measures. For a reconciliation of these non-GAAP measures to the nearest GAAP measure, see our press release issued yesterday and posted on our website. With that, I will turn the call over to Rob.
Robert Vitale: Thanks Brad and thank you all for joining us to discuss our first quarter results. As Jeff will review in greater detail, 2017 is playing out as expected with a meaningful reduction in the Michael Foods Group adjusted EBITDA being offset by growth in Post's consumer brands and Active nutrition. This quarter our only outlier resulted from executional issues within private brands. With that as context, I will discuss segment highlights and capital allocation. Post Consumer Brands focus continues to be completing the integration of the legacy businesses, while building upon our market momentum. Past April, we consolidated ERP systems and are now able to execute against production and distribution, network optimization to ensure the lowest possible delivered cost. More broadly, our efforts remain focused on continues cost reduction across the organization. While cereal has not been a growth category, we have confidence in our ability to drive modestly increasing cash flow to support strategic objectives. Recent cereal category trends have continued, the category declined this quarter 1.9% in dollars and 0.5 in pounds. However, unlike recent periods, this quarter base volumes declined and incremental volumes grew. Our consumption was strong with dollars increasing 3.4% and pound is 4.7%. As with prior quarter, we grew in both base and incremental sales, for the quarter our dollar on pound share increased 19% and 21.8% respectively. Consumption dollars and pounds grew for three of four core brands. Malt-O-Meal bags , Pebbles and Honey Bunches of Oats. Consumption of Great Grains fell because of skew rationalization. Malt-O-Meal bags performed well this quarter with pound consumption growing 11.4% driven by additional items on shell and higher base prices. Pebbles too had a great quarter, with pound consumption growth of 13.1%, while Honey Bunches of Oats have pound consumption growth of 3.7%. Pebbles continue to see strong base terms and both brands benefited from increased merchandizing support in the quarter. We are returning Pebbles to its box only format. The brand’s strong performance and pricing strategy makes this a good move for post and its retail partners. We expect Pebbles to continue to grow through better advertising, better taste and better innovation. Great Grains consumption comparison remains negatively impacted by products discontinued in 2016. The fourth quarter will be the first fully comparable period, nonetheless our continuing core Great Grains products saw pound consumption growth of 3.7%. Overall, our consumption performance benefited from a promotional plan more heavily weighted to the first quarter of fiscal 2017 in comparison to our lowest promotional period of 2016. This is not a change in our promotional strategy rather our focus last year was on consolidating sales teams. On a full-year basis, we anticipate fiscal 2017 trade levels to be comparable with 2016. Michael Foods performed as expected this quarter, we continue to expect to lap the impact of Avian influenza during the second half of fiscal 2017. Market egg supply has return to pre AI levels while low shell egg market prices have delayed some customers return to value added egg products. As a result, the normalization of our demand has like the return to normal supply conditions. This timing difference was baked into our 2017 plan, and has developed as we expected. Compared to prior year, the Michael Foods Group adjusted EBITDA decline was approximately $26 million for the first quarter. Last quarter in providing our 2017 outlook, I mentioned that we have modeled potential adjusted EBITDA declines in the Michael Foods Group of up to $100 million, which we expected to be offset by growth elsewhere in our portfolio. There is no change in our underlying assumptions. Recall that on an adjusted EBITDA basis, last year’s second quarter was our peak quarter. This year’s second quarter is expected to be our lowest quarter for the Michael Foods Group segment. Accordingly, comparability will be most difficult in the second quarter and will ease in the balance of the year. As I have said before, AI created short-term volatility, but we remain highly optimistic about our egg business model and its competitive positioning. Active Nutrition continues to show great growth driven by premium protein shakes and bars. It is now a material contributor to our portfolio in a large component for the confidence we have, the declines in Michael will be offset. I want to highlight that promotion and marketing timing caused this segment to have meaningful swings in intra year margin structure. I encourage you to look at growth in the margin structure on a trailing year basis rather than quarter-by-quarter. Within private brands, our granola business continues to show modest revenue growth. Our capacity expansion remains on-track to come online in the back half of the year with margin leverage to follow. Our nut butter and fruit and nut business had a disappointing quarter. Frankly, our execution was poor and we have moved to address it. I would expect to see profit recovery in private brand this year is we tighten our operational execution. With respect to capital allocation, volatility in our share prices created an opportunity for Post to buy its shares under our repurchase authorization. We purchased 1.7 million at an average price of $76.32 for a total of $133 million. Our remaining authorization is approximately $167 million. We continue to have significant amount of cash on hand at approximately 870 million, we are assessing a variety of M&A opportunities and we are working to find the best opportunities at appropriate values. With that, I will turn the call over to Jeff.
Jeff Zadoks: Thanks Rob and good morning. We had solid performance during the first quarter with consolidated net sales of $1.25 billion and adjusted EBITDA of 230.1 million. Turning to our segment results, I’m beginning with Post Consumer Brands, net sales were approximately 421 million, up 2.2% compared to prior year. Although, volumes declined 0.5%, product mix and average net selling prices improved as branded volumes increased and volumes below our margin co-manufacturing and government bid business declined. Sales volume increased for three of our four core brands Malt-O-Meal branded bags, Pebbles and Honey Bunches of Oats. Volumes for our fourth core brand Great Grains decline slightly. Post Consumer Brand’s adjusted EBITDA was 108.9 million for the quarter and benefited for manufacturing cost savings, improved product mix and modestly reduce consumer advertising and promotion. This was partially offset by a higher trade promotion rate during the quarter. We expect first quarter to be our highest promoted period in the fiscal year based on the timing of promotional activities. Next, Michael Foods Group delivered net sales of 540 million, a decline of 12% on a comparable basis. Our egg volumes increased 12% as we continue to lap prior year periods impact by reduced egg supply caused by Avian influenza. However, egg revenues decreased 13% as we completed the roll back of a temporary component of AI pricing during the quarter. We also continue to experience lower pricing to our market based customers in-line with Urner Barry market prices, primarily for ingredient and retail shell egg customers. Cheese volumes declined significantly as a result of exiting certain private label business in the fourth quarter of fiscal 2016. However, the segment profit impact of the lower cheese volumes was very modest given the low margin profile of the lost business. Michael Foods Group adjusted EBITDA was 92.3 million and as expected we below the comparable prior year period as we continue to progress through the egg market recovery from AI. We expect our second quarter performance gap in this segment to be greater than in the first quarter before shrinking during the second half of the year. Moving to Active Nutrition, net sales were $154 million an increase of 33% compared to the prior year. Growth in Premier Protein shakes and bars was partially offset by declines for PowerBar and Dymatize. Dymatize sales were soft primarily driven by the weakening U.S. specialty channel. Active Nutrition adjusted EBITDA was 31.1 million and benefitted from higher Premier volumes and lower material cost. This was partially offset by increased SG&A expenses related to the higher headcounts to support growth. Recall, the quarterly margins in this segment fluctuates significantly depending on the timing of promotional activity and levels of consumer marketing spending. We expect to see higher trade and marketing levels in the second and fourth fiscal quarters and we continue to expect fiscal 2017 annual adjusted EBITDA margins to be in the mid-to-high-teens for this segment. Turning to Private Brands, net sales were approximately $136 million, flat compared to the prior year. Volumes grew for granola and organic peanut butter and decline for regular peanut butter and fruit and nut. Sales revenue was also negatively impacted by lower net pricing for almond and walnut products related to pass through of the declining input cost. Private Brands adjusted EBITDA was $13.5 million down from $19.1 million in the prior year. This decline was driven by manufacturing inefficiencies in nut butter and fruit and nut and higher co-manufacturing cost in the granola business, only partially offset by higher granola volumes and a favorable nut butter product mix. Before reviewing our guidance, I would like to comment on two material items impacting our GAAP results this quarter. First, we recently reached agreements to set a class action claims against Michael Foods. Related to Antitrust Lawsuits that were pending prior to our purchase of Michael. We recorded a pre-tax charge of $74.5 million in our SG&A this quarter for these elements. Second, as we have commented in the past, we have swaps in place to hedge a portion of the interest rate exposure related to future refinancing of our fixed rate debt. During the quarter, the interest rate curves steepened and credit spreads narrowed resulting in a 145 million non-cash mark-to-market gain on the swaps, which we recognized in our statement of operations. Concluding with our outlook, we narrowed the adjusted EBITDA range for fiscal 2017 to between $920 million and $950 million. We continue to believe the pacing of adjusted EBITDA will modestly favor the second half of the fiscal year. With that, I would like to turn the call back over to the operator for questions. Operator.
Operator: [Operator Instructions] And your first question comes from the line of John Baumgartner with Wells Fargo.
John Baumgartner: Hi, good morning everyone, thanks for the questions. Rob, could start of just thinking about the South Korean bird flu impacting the U.S. egg prices and maybe directly or indirectly at Michael this year. Some of the Urner Barry prices we have seen have really shown a pretty big spike in prices over the past two or three weeks. So do you have export opportunities, do you anticipate benefits for your value-added business is going to be sooner than you thoughts somewhere back in November. How are you thinking about that?
Robert Vitale: So first of all, yes, we do have export opportunities that tends to be lower margin business, but we are responding to the demand abroad driven by the AI incidents you have noted. Secondly, with respect to it impacting the U.S. market, and our value added conversion, it will certainly have a positive impact what that timing is and whether it will be impactful in the next couple of quarters or a longer tail than that is hard to evaluate. We have continued to bake in the assumptions around recovery that underlie our original estimates and have not updated them beyond what we have embedded in our guidance.
John Baumgartner: Okay. Great. And then in Active Nutrition the follow there, you maintain you margin target for the full-year and I guess that despite the recent uptick we have seen in some of the way concentrate prices in the spot market. Can you speak to your hedge position there or expectations for incrementally larger cost inflation this year, and at Dymatize with the specialty channel softness. Can you elaborate on that a bit, and maybe speak to some of the opportunities to offset that and maybe with e-commerce.
Robert Vitale: So, with respect protein prices we are in quite good shape throughout fiscal 2017 and partially into fiscal 2018. So we have no real exposure around the protein prices that drive Premier. We do have some on Dymatize, there is an array of protein products that we acquire and we have various positions in each different category. A lot of the benefits to margin at Premier driven by scale and also are driver by as Jeff mentioned the timing of market promotion and timing of incremental campaigns. With respect to Dymatize and the specialty channel, we certainly have seen weakness in the specialty channel as the more traditional channels have encroached upon its territory. And we are trying to respond with better innovation, more unique product category, better packaging aimed at the specialty channel to try to remain distinct and unique in the channel. But ultimately that channel has to develop a more compelling value proposition that enable us to compete more effectively with FDM than it has done at least thus far this year. So we are watching this very carefully about how much to rest our future entirely upon the specialty channel versus looking at the overall strength of that channel.
John Baumgartner: Great. Thanks a lot Rob.
Robert Vitale: Thank you.
Operator: Your next question comes from the line of Chris Growe with Stifel.
Chris Growe: Hi. Good morning. I just wanted to ask first a follow-up on the egg business. Just curious is your egg supply developing like the industry overall. Are you back now to kind of full supply. And then if I can add to that does your outlook incorporate improving prices through the year so did South Korea kind of help with your pricing assumptions or is it just you kept your original functions in place for the year?
Jeff Zadoks: Yes. So, with regarding to the first part of the question, we are following industry and our more or less back to pre AI supply levels. With regard to the second, our plan did anticipate prices increasing throughout the year. The prices during the first quarter were actually a little bit lower than our plan had anticipated. And therefore, there were some headwind in the first quarter, but the expectation built into our plan was that there would be growth in the market prices throughout the year.
Chris Growe: Did that change at all, because of some of the current situations like South Korea?
Jeff Zadoks: Not dramatically, the comment earlier about market prices increasing recently, it is in fact true. But in-line with our longer term view as to where we thought the market was going to go.
Chris Growe: Okay. Thank you for that. And then just quick question I guess for Rob, you made a comment about acquisitions and we cover this every quarter it seems like. But maybe I could ask, are there any division where, I mean if you make a broad statement, I guess about acquisitions and multiple broadly across the business. But are there any divisions where you are seeing more activity and more potential maybe from where it was last quarter?
Robert Vitale: Active Nutrition is the segment that has the most frequency of opportunities, because you have so many small businesses being formed that are naturally targeted towards that growing consumer segment, but they tend to be smaller a bit more volatile. So we have been cautious in that area. We tend to look at M&A as an opportunity to look at two different types of opportunities. One, picking larger businesses that have less volatility usually lower multiples, but less potential to grow hyperbolically. And then in contrast situations like Premier where you have hyperbolic growth, but the downside of that product lifecycle could be equally steep. And we are trying to be very cautious in a way we navigate through that, number of opportunities in that sector. There are numerous opportunities in private label as well but they too tend to be very small. And then as you get into our larger businesses, the opportunities get to be higher quality businesses just fewer further between.
Chris Growe: Okay. All right. Thank you for the time.
Robert Vitale: Thank you.
Operator: Your next question comes from the line of Jason English with Goldman Sachs.
Jason English: Hi. Good morning, folks. Congratulations on solid EBITDA performance this quarter. Can you give some color as to why it didn’t translate into cash flow? What some of the leakage was and any consideration factors we should be thinking about, as we think about the cash flow statement for the remainder of the year?
Robert Vitale: So the big driver was the settlement payment that we made for Antitrust, which was $75 million. So clearly that’s not something we would expect to continue. The other driver in the first quarter is our bonus payment period, which as we commented last time were at max level. So also something that’s not going to repeat every quarter, those were the two big drivers and if you factor those out, I think you would see a much more normalized operating cash flow based on our recent trends.
Jason English: Okay, that’s helpful. Thank you. And then coming back to Michael Foods real quick. Pretty cautious commentary in terms of expectations for next quarter. Can you help us with any more specificity? I think you mentioned the lowest EBITDA quarter for the year, any sense of magnitude? And then second question on Michaels, you seem to be down playing sort of the recent lift in spot prices. It seems like it could be more helpful to me than you are suggesting. It seem this market conditions that we were in for a bit of a lower for longer price environment and this may have accelerated it. Were your expectations really for such a rapid acceleration, and why shouldn’t we be looking at this a likely scenario that lifts sort of the down side worst case scenario in terms of EBITDA decline that of Michaels?
Robert Vitale: So you asked two questions, one, comparability of quarter two. So let me direct you on that one first. I think your starting point for that should be the increase in adjusted EBITDA from quarter one to quarter two last year. Because last year was the peak performance with respect to the impact of AI on last year's earnings. So then, if you assume some modest Michael decline in Q2 of 2017. You can then start to ballpark the magnitude of the decline but this is much driven by the dynamic last year and a less volatile. But a pattern that slows this year with Q2 being down from Q1 and Q2 being the trough quarter for Michael that produces a growth in that delta from Q1 comparability to Q2 comparability and then starts to shrink in the second half of the year. So before I move on to the second question is that clear as mud?
Jason English: Yes, exactly. Rather thick mud. So to make sure I kind of get it, your EBITDA jumps from Q1 to Q2 by around $4 million. That $4 million delta seems like perhaps the right magnitude to think about in terms of fall off from 1Q to 2Q? Is that a reasonable interpretation on what you said?
Jeff Zadoks: It's a little more cautious than that because we expect Q2 to be a low point of 2017 whereas Q2 was the highest point of 2016. So what you have accounted for so far it's just the high point aspect, there is another low point aspect that needs to be accounted for all of which is baked into our guidance.
Jason English: Okay, got it. Thank you.
Robert Vitale: With respect to the second part of your question, in terms of egg prices recovering. Certainly there are some opportunity around that, but the cycle of recovery involves changing ingredient requirements packaging requirements. It's not a flip of the switch with egg prices returning. So there is little doubt that it will have a positive impact, the question is will the positive impact occur on a timeframe that accelerates into fiscal 2017 or will lag longer than that. So perhaps were being on the cautious side of that, but if we are still be it.
Jason English: Very good. Thank you guys, I'll pass it on.
Robert Vitale: Thank you.
Operator: Your next question comes from the line of Cornell Burnette with Citi Investment Research.
Cornell Burnette: Good morning and congratulations on the quarter. Just wanted to first start-off - go back a bit to Active Nutrition, I know you gave you some color around the margins and why they were pretty nice in the quarter. But wanted to look at the sales growth at 33% it seems like that was all kind of driven by Premier. I was hoping if you can give some more color on that versus just kind of both on distribution gains and moving into the channels. And then going forward how sustainable is that number especially in light of commentary that you gave kind of signaling that you have got more marketing and promotions in store for later in the year relative to what was seen in the first quarter?
Jeff Zadoks: So approximately 60% of that growth is velocity and 40% of that growth is distribution, so it's a mix of both. We by no means would argue that that level of growth is sustainable, we continue to be very pleased with the results, but are not signing up for that kind of growth rate in anything approaching us multi-year horizon. But the product is very well received, customer royalty is very high, repeat rates are very high and household penetration is very low. So we are excited about the product and the opportunity. But we are equally excited about the opportunity to grow the balance of our portfolio with some new marketing and new products. we have just launched our clean star campaign for our new Clean Whey PowerBar and we are optimistic about the results. We are optimistic that the results will be attractive very early in the launch. So we continue to be very optimistic of the overall business.
Cornell Burnette: Okay. And then in material, it looks like kind of some of the retail takeaway data suggestion shipments up 4% yet kind of your reported numbers are below that. I was wondering are e-your kind of in a situation where you are shipping below consumption or is the delta just really related to maybe some unmeasured channels in some of the [indiscernible] business that you talked in the press release?
Jeff Zadoks: All three of those. There is no one of those, which are terribly large, but all three of those contributed to the dynamic you described.
Cornell Burnette: And then lastly on the share, I know you talked about maybe having higher promotions in the first quarter kind of the year-on-year comparison. But when I look that kind of the reported numbers, it looks like net price realization looks to be up over 2%. So I was just kind of wondering what drove that in light of kind of in your comments on the promotional side.
Robert Vitale: It’s mostly a function of channel mix and actually more specifically customer mix, where we did very well with customers that have an EDLP strategy. So we did well with promoted volume, but we did even better in an EDLP environment. So, promotional drove the increment, but we have very strong EDLP performance that drove average pricing as well.
Cornell Burnette: Okay. Thanks a lot. I appreciate it.
Operator: Your next question comes from the line of Brett Hundley with The Vertical Group.
Brett Hundley: Hey good morning guys. Thanks for the questions. Just two high level ones for you. First, would you guys be ready or willing to share some of the qualitative factors that could push the top end of your guidance range up for the year?
Jeff Zadoks: I don’t think at this point in the year we would be ready to do that. We are pleased with the results of the quarter, we are looking at derisking the guidance, but three months in and I don’t think we want to talk about upside.
Brett Hundley: Maybe I can place another one there instead specifically on the Michael business. Eggs, with the spread of AI in parts of Asia, Europe, I know pricing remains relatively weak of course. But, have any jitters related to that or anything else force to willingness by customers to move back towards grain based cost plus contracting away from the spot market at all that you have seen?
Jeff Zadoks: So if you go back into the Michael business model, customers were on a grain based model, because it was good for them and it was good for us, not because they were trying to gain spot versus grain based. We think ultimately the dynamic that drove the success of that model is firmly intact, but that there is a timing delta simply because while you know you are going to make that move the persistence of low pricing has slowed the move. So we think the only difference is going to be pacing not different if or when it happens.
Brett Hundley: Okay. And then gentlemen last one for me. I wanted to come back to your M&A filter. And I wanted to ask you a question related to geographies. As I think about cross border M&A. I want to understand your views under the current political backdrop. And basically I’m looking at three borders, I’m looking at U.S. Mexico, U.S. Canada And then the UK EU. And of these three borders or situations. Are there any that stand out as potentially dangerous for a buyer today in your eyes? Any that are more accommodate, I would love to just hear your thoughts on that. Thank you.
Robert Vitale: The ultimate answer is I really don’t have a clue. So if the question is aimed at the proposed boarder tax, our sensitivity is more Canada, because we have plants in Canada. From an M&A perspective, I think it’s such a bespoke question that I would be hard-pressed to apply the limited clarity we have around where tax and policy could go to specific M&A situations. I know that’s not a very helpful answer. But unfortunately its I think the best we can give you at this time.
Brett Hundley: That’s all right. That’s right. Thank you guys.
Operator: Your next question comes from the line of Bill Chappell with SunTrust.
Bill Chappell: Thanks. Good morning. Simple question. So if the egg business, the outlook still the same and it sounded like the private brands business actually is a little worse in terms of execution and expected. What was the driver of I mean raising the low-end of your EBITDA guidance for the year?
Robert Vitale: Well we think that some of the conditions that we have talk about the strengthening and price resulting from the international AI does de-risk the downside. So we have baked in more potential downside in our original forecast and is appearing to develop. We think the problems with private brands are fixable and we think they are fixable in relatively short order. So given that outlook, we decided it was appropriate that we raise the bottom up.
Bill Chappell: So just maybe t put words in your mouth. Maybe a $100 million loss for eggs is really the low point and maybe overlay conservative?
Robert Vitale: Well, I don’t think, I’m going to necessarily characterize anyone assumption as conservative or aggressive, rather I would say that within the context of what we are seeing in eggs and within the context of what we are seeing on the balance of the portfolio we felt confident to do what we do.
Bill Chappell: Okay. And then can you just give me a little more color on the private brands execution issues and just how you fix that and on the positive Pebbles. I think it’s your second largest brand and it’s a pretty strong growth for the quarter, how sustainable that might be?
Robert Vitale: Sure. So on private brands - the business that we have is the result of a series of acquisition of small businesses. And I had advocated a position of waiting for a larger scale acquisition to bring together some necessary system conversions that would allow for greater efficacy and things like demand planning and service bill rates. And frankly what has happened is by having subscale dispirit systems. We have allowed some inefficiencies and some service levels to build in and they became costly this quarter. We made the decision that we can no longer wait for the right M&A, answer to that problem and we need to form one system, one go-to-market, one demand planning organization to make those executional issues go away to relatively clear path it just make requires the world to executing against that. Pebbles, we are very pleased with the performance if Pebbles, we think we gave done good things around innovation packaging, we think we have made some taste improvements. So I would hesitate to try to attribute anything to one silver bullet, its basic blocking and tackling across all aspects of the product the marketing mix, the sales execution that has driven really quite impressive performance.
Bill Chappell: Okay, great. Thanks so much.
Operator: The next question comes from the line of Tim Ramey with Pivotal Research.
Tim Ramey: Thanks so much, good morning. A couple of questions and I know the first one is kind of unfair, but you bought back stock at a price fairly significant premium and just dud you say 76, 32 is so I could just get that number correct. To last issues price and I know all the decisions are incremental and real-time. But did that give you any particular [Ex] (Ph) or was it just the best available option at the time?
Robert Vitale: We live in a mark-to-market world and we decided that based on where the share price was and based on the prospects that we saw that it made a lot of sense to do. So I think embedded in the question is do we wish we hadn’t sold equity at the price we did last time. We frequently want to try to make judgments against where we see our opportunities and sometimes were wrong and sometimes were right. On that one we added more capital to the balance sheet than we needed at the time, and did so at a price that in retrospect was not a great price. So the fact that we made that decision last year is in no way going to inhibit us from doing what we think is the right thing this year or maybe that was two years ago.
Tim Ramey: And then just speaking of two years, we are sort of two years or almost two years into all-day breakfast where that impact has expanded many of them on breakfast in QSR. Do you have any thoughts on kind of what that's doing to the demand picture in QSR eggs?
Jeff Zadoks: The demand in QSR eggs is generally flat. The demand issues we are having around eggs are more in the less value-added segments around ingredients and even some of the retail more value-added products. The QSR segment is generally flat. Our market share is unchanged, where there are some weakness in food services more in the casual dining segment.
Tim Ramey: Got it. So what are the QSR operators thinking that they are over expanded or they need to turn SKUs or it's the starting to go.
Jeff Zadoks: Well, I can give you just what I read from the various McDonald's and other analyst reports. I think they are very pleased with the results of the expansion of all-day breakfast. I think their challenge is what next, not was that a good expansion or not.
Tim Ramey: Got it. Thanks so much.
Jeff Zadoks: Thank you, Tim.
Operator: Our final question comes from the line of Ken Zaslow, [Bank of Montreal] (Ph).
Kenneth Zaslow: Hello everyone. So just a couple of question, what was the reason behind the decline in baseline sale?
Jeff Zadoks: The three points that I think Cornell made were one was just timing of inventory. Two, we had in the prior year some common business that did not repeat itself. And then the third was government bid business.
Kenneth Zaslow: Okay. And then the $15 million to $20 million of marketing discretionary spending, where do you stand on, I means how does that progress throughout the year?
Jeff Zadoks: That was spending that we pull the trigger on last year. So it is not reflected in anything going forward this year. We will make decisions on incremental spending as the year unfolds. But as of now, there is no plan to repeat it.
Kenneth Zaslow: Okay. And then my final question is just real quick, how much conversion is left from your AI contracts to B contracts. Are you almost there, where are you in that evolution?
Jeff Zadoks: There really wasn’t any conversion of contracts. The contracts that we had remained in place, we simply didn’t have the eggs to supply to some of those customers. And those customers were forced to go out on the market to buy eggs at the time. And getting some of those volumes back converting them back is what we are working on. But the base contracts really follow their normal course and we have contracts that renew throughout the year and throughout multiple year periods.
Kenneth Zaslow: Okay. Thank you.
Operator: I will now turn the conference back to Rob Vitale for any closing remarks.
Robert Vitale: Thank you everyone. I think we are very pleased to start the year as we have, we consistently through 2016 and now into 2017 try to convey this message that while we expected a decline in Michael to be meaningful, now we expect the balance of the portfolio to cover that. And so far that appears to be developing and we feel confident than it will. So, thank you and we look forward to talking to you in May.
Operator: This conclude today's conference call. You may now disconnect.